Arthur Sadoun: Thank you, Maria. Bonjour, and welcome to Publicis Groupe 2020 Full Year Results Call. I'm Arthur Sadoun, and I'm here in Paris with Anne-Gabrielle Heilbronner, our Secretary General. Steve King, COO of Publicis Groupe is actually joining us from London. Also in the room, we have not one but two CFOs. Jean-Michel Etienne is here for his last earnings call, along with our future CFO starting today, Michel-Alain Proch. Michel-Alain, welcome, bienvenue.
Michel-Alain Proch: Thank you, Arthur, and good morning everyone. I'm thrilled to be with you today. As you may know, I joined Publicis three weeks ago. So this is still early days, but Arthur Sadoun and I have been working since last December at organizing the transition. So I kind of already feel at home. I think this is clearly a great time for me to join Publicis as the new CFO as we strive to contribute to the future of the Group, by leveraging my experience particularly in three areas, digital and technology, transformation and optimization, and obviously, my US background. There is a lot -- really a lot in common between Publicis today and the tech world from which I'm coming. To succeed in this transition, I have an ace up in my sleeve. Jean-Michel is going to be by my side actually just the office next door, while he will be managing resources, and he will be seeing the continuation of the real estate consolidation plan. So usually I really feel blessed that he accepted to dedicate this next six months to showing me the Group and all its facilities and there are numerous. For this kind welcome, thank you, Jean-Michel. I will finish up this short introduction by giving you some elements of background for those of you don't know me. After starting my career with Deloitte in 1991, I worked at the Hermes for eight years, where I was notably an operational CFO in the US. At Atos, I was a Group CFO for another 8 years, during which we deeply transformed and doubled the size of the company, while doubling its margin rate too. The company became comparable in size and probably in complexity to Publicis at around 10 billion. I then took the position of country's CEO in North America for three years, leading 2.5 billion operation, where I notably launched the Atos Digital Transformation Plan and improved operation profitability. More recently, I contributed to the full turnaround of Ingenico in my position as a CFO, next to the company's CEO, Nicolas Huss, until the company was acquired by Worldline. That's pretty much when I had the opportunity to join after and the team in this Publicis adventure. So I simply jumped on it. All right. I'll meet with you and probably virtually, I guess, in the coming months, and we will catch up together for our Q1 revenue in April. With this, I now hand over to Arthur and Jean-Michel for the 2020 Results.
Arthur Sadoun: Thank you, Michel-Alain. We will now get into the core of the presentation. I will start with the 2020 highlights, after Jean-Michel will give you the full detail of our numbers. We then give you a brief strategic update, and finally we will take all of your questions with [indiscernible]. Before we start the presentation, please take the time to read the disclaimer, which is an important legal matter. Okay. Now, let's dive into the presentation. 2020 was as everyone knows a difficult year, walked by the COVID-19 pandemic. The global economy suffered and our industry was hit harder, with a significant drop in marketing spend. In this tough context, we posted solid performance. Thanks to our transformation. Our long-term investment in data and technology, our country model, and also our platform Marcel, have enabled us to contain the revenue decline and actually maintain a strong financial in this multi-crisis year. First, we outperformed the industry average in term of organic growth for the full year of 2020, coming at minus 6.3%, with a Q4 ahead of market and our own expectations at minus 3.9%. This was mainly driven by the US, which turned slightly positive in Q4, with organic growth at plus 0.5% and posted minus 2% for the full year. In Q4, Epsilon saw positive growth at plus 5.5%, contributing to the US positive performance. The acceleration of Epsilon performance was driven first by digital media and the recovery in automotive. Overall, Epsilon contributed positively to our organic growth in 2020. Our digital media arm grew in Q4 by double-digits, supported by the growth of CGFA [ph]. Publicis Sapient returned to slightly positive organic growth in Q4 as an encouraging pipeline we saw in Q3 began to materialize. Our production activities were also up. And more generally, our Creative and Media operations showed good resilience in the current timing. Finally, our health activities recorded double-digit growth, both in Q4, but also for the full year. Meanwhile, Europe remain challenging in Q4, with minus 9.1% organic decline, reflecting the various lockdown restriction in all of our main countries there. UK was down 11% organically, as was Germany. Our operations in France improved sequentially, with an organic growth of minus 7.2% supported by a positive media performance in Q4. The situation was similar in Asia, where many countries continue to be impacted by COVID measures and organic growth with a minus 8.6% in Q4. In this context, China improve to minus 4.2% and we recorded an encouraging series of win, most recently loyal media business. Second, we have continued to gain market share despite the slowdown in pitch activity. Thanks to our unique offer, we have retained and reinvented our relationship with clients like Kraft-Heinz and Reckitt Benckiser. Consolidated our partnership with other, such as GSK, by bringing Pfizer on board, and Visa, and won the trust of new clients like TikTok globally, Sephora, Hulu [ph]. Last but not least, we continue to deliver the best financial ratios of the industry. Our activity mix, combined with a strict cost and cash discipline helped us deliver an operating margin rate of 16%. Our free cash flow is at almost €1.2 billion, and we have significantly reduced our net debt to around €830 million at year-end. But it is important to note that we have an average net debt of €3.3 billion in line up with our pre-crisis forecast. Today, our solid results mean we are able to pay the dividend at €2, slightly below our pre-pandemic levels, corresponding to a payout ratio of 46.8% of headline net income and over 80% when calculated on net income. This will be proposed at our next AGM in May. It is important to note the sustainability of our performance, which was achieved with virtually no benefit from any government health, and we absolutely no aid from the French state. We are also pleased where we have been able to repay the voluntary salary sacrifice made by 6,000 of our people when the crisis first hit to protect jobs and the company. In April, we worked on the plan to beat our worst case scenario, and thanks to everyone out in this team work, we were able to deliver above the average industry results. This allows us to properly and fairly reward our team performance with our ability. I would like to take this opportunity to thank everyone in the Group for their extraordinary efforts and our clients for their trust and partnership. Now for the very last time, I will leave the floor to Jean-Michel, will take you through our numbers in detail. Jean-Michel?
Jean-Michel Etienne: Thank you, Arthur. So it has been a great journey for me with ups and downs and always rewarding as Publicis is an incredible company. I've tried during all these years to be as transparent as I could be and working professionally with you and our investors, and I am sure I leave you in good hands with Michel-Alain. Apparently, I hope that you and your families are still safe as the situation continues to be difficult everywhere. I will now detail our fourth quarter and full year 2020 results, and hand the floor back to Arthur, who will go through our priorities and the strategic outlook for next year. Let's start with net revenue on Page 9. In Q4 2020, net revenue is €2,595 million, down by 9.6% versus last year as reported. Currencies have a 5.4% negative impact with US dollar explaining more than 60% of the impact, also a noticeable impact include the Brazilian real and the British pound. Acquisitions have no major impact this year at minus 0.5%, given that Epsilon is included in our organic growth performance since 1st of July 2020. All in all, the organic growth is at minus 3.9% in Q4. For the full year 2020, net revenue is €9,712 million, down 0.9% versus last year as reported. Currencies have a 2.2% negative impact. Acquisitions have a positive impact of 7.4% due to the consolidation of Epsilon in H1. Therefore, the organic growth for the full year 2020 is at minus 6.3%. On Page 10, we'll be quick on Q4 net revenue, as I'll give more details in the following slides on the analysis by region like I did in Q3 and following the implementation of our country model which is allowing us to do that. Organic growth in Europe is at minus 9.1%. As expected, Q4 continue to be impacted by the pandemic, pushing local governments to take new measures to mitigate its health impact, North America performs well at plus 0.2% in Q4, a significant sequential improvement versus Q3 and a solid figure given the current context. Situation remains difficult in Asia Pacific, delivering an organic growth at minus 8.6%, although a slight sequential improvement versus Q3. Latin America is sequentially improving at minus 10.8%. Middle East and Africa is at minus 12.1%. Overall, Q4 organic growth for the Group is at minus 3.9%. Turning now to Page 11. We detail the performance of our main countries in Europe. In the UK, which represent 8% of our net revenue in Q4, organic growth is at minus 11%. Our Creative activity continues to be impacted by the current context. We saw an improvement at year-end for the Media activity, which is slightly positive this quarter. Epsilon international in the UK continues to grow fast, also on a small base. Our UK Health business also continues to perform well in Q4. All in all, our UK marketing transformation business is posting a positive growth rate in Q4. However, Publicis Sapient UK is still impacted by the freeze of some project-based activities. In France, which represent a 7% of our net revenue in Q4, the situation improved sequentially for all our activities. As a result, organic decline is at minus 7.2%. Creative entities performed in line with our organic growth in the country. Media being slightly positive. We know it also reduced negative impact of our outdoor media activity and the Drugstore in Q4. Finally Germany, 3% of the group net revenue in Q4, posted an organic growth at minus 10.9%. Creative and Media are ahead of our performance in that country. Moving to Page 12, let's focus now on the US, representing 57% of the group net revenue in Q4. In the US, we resisted very well in the current context, regarding a positive organic growth of plus 0.5%, it will further the strength of our model. Our Creative and Media activities remain negative in Q4, still impacted by COVID, within those, however, some activities performed pretty well. This is a case for production of dynamic contents growing by mid-single digit in Q4 or for the digital media investments and automotive [ph], which are growing double-digit in Q4. This has helped to mitigate the impact of the crisis on the overall Creative and Media businesses. Epsilon 2.0, which is a core of Epsilon, grew by 5.5% in the quarter. Thanks to the good performance of Conversant and the continuous improvement of the automotive practice. This performance is also a good sequential improvement over Q3. Publicis Health US continue to deliver a strong double-digit growth in Q4. Last but not least, Publicis Sapient in the US, returned to positive growth in Q4, confirming the encouraging trends that we saw in Q3 and the increasing needs for -- of our clients to accelerate their own transformation. On Page 13, we detail three regions that represent together about 15% of the group net revenue. Asia-Pacific sequentially improved versus Q3, reflecting contrasted trends in some countries. North East and Southeast Asia improved significantly versus Q3, notably, thanks to China, which post a minus 4.2% organic growth in Q4. While the Pacific region declined sequentially, mostly due to a weak performance in media in Australia due to few client losses and the effect of the pandemic. Publicis Sapient continued to record a double-digit growth in the region. This is due to several new business wins, mostly in India and Australia. Latin America slightly improved sequentially also with an organic growth of minus 10.8%, still impacted by the worrying sanitary situation in Brazil. Finally, Middle East and Africa is down by 12%, mostly due to the South Africa and Israel and the slowdown of the overall business activity due to COVID, as well as the postponement of some projects for Sapient in Middle East. Page 14, regarding group's net revenue by geography on a full year basis in 2020. Europe is at minus 12.7%, growth would have been minus 10.8%, excluding our French outdoor media activities and the Drugstore, which had a significant impact in Q2, and to a lesser extent in Q3 and Q4. North America is at minus 2.4%, Asia Pacific is at minus 6.7%, Latin America is at minus 13.9%, Middle East and Africa is at minus 11.7%. Overall Publicis' group organic growth for the year is at minus 6.3%, much better than what we feared at the beginning of the pandemic and the lockdowns. On Page 15 as usual -- as usual, we give you our organic growth performance in some countries. Among the countries with positive organic growth. In Q4, we have New Zealand, 12.6%, and South Korea at plus 1.7%. And as I said before, the US now also positive in Q4 at plus 0.5%. On a full year basis, we have Argentina at plus 14.7% and Saudi Arabia at plus 10.8%. Between minus 10% and 0% in Q4, we will find Brazil at minus 9.5%, Canada at minus 9.3% and Spain at minus 5%. On a full year basis, we have China at minus 8.1%, Germany at minus 7.7%, and US at minus 2%. Between minus 20% and minus 10%, in Q4, you will find India at minus 11.5%, Italy at minus 13%, and Mexico at minus 10.1%. On a full year basis, you have Australia at minus 10.1%, France at minus 12.5%, excluding the impact of our outdoor media activities and the Drugstore, and Russia at minus 11.9%. Below minus 20%, in Q4, you have Australia at minus 21.2% and Portugal at minus 20.7%. In full year -- on a full-year basis, we have Denmark at minus 20.3% and Israel at minus 25.1%. Turning now to our consolidated income statement on Page 16. First, EBITDA for 2020 is at €2,158 million, down by 3.9% year-on-year, leading to an EBITDA margin of 22.2% versus 22.9% in 2019. Our operating margin declined by €100 million at €1,558 million or minus 6.1% year-on-year, leading to an operating margin rate of 16%. This remarkable performance is a result of all the efforts undertaken by our teams during this crisis. Second, headline group net income is down by 13% at 1,034 million after taking into account net financial expenses of €189 million and income tax of €340 million that we'll detail later in this presentation. Third, group net income is down by 31.5% at €576 million, and it includes a profit relating to a change in fair value of financial instruments, net of tax of €9 million, and a net of tax charge of €11 million related to the unwinding of some cross currency swaps during H2. Group net income also includes -- also non-cash items, namely the amortization of intangibles for €254 million net of tax. The increase versus last year is related to the acceleration in the amortization of some intangibles arising at time of acquisition. And also, the full-year impact this year of the amortization of our brands, which has started in July 2019. It includes also an impairment and real estate consolidation charge for €185 million, of which €170 million relate to our real estate consolidation plan, the remaining amount being an impairment charge on goodwill for €50 million. On Page 17 we go now into details of our operating margin. Personnel costs increased by €110 million year-on-year, representing 62.5% of net revenue, up by 170 basis points versus 2019. This increase is mainly due to the addition of Epsilon in H1, partly offset by the impact of our 2020 cost reduction plan. Restructuring costs represent €175 million in 2020, up by €59 million versus 2019, in line with what we announced in July. It reflects the full impact of the severance charges related to our cost reduction plan. The other operating expenses amounted to €1,432 million are down by 9.7%. It represents 14.7% of net revenue versus 16.2% in 2019. This is mostly driven by a reduction of G&A, with some expenses that have been drastically reduced during most of the year, like travel cost, for instance. Depreciation is €480 million, in line with what we had in the previous years. Also, it takes into account the full year impact of Epsilon. All in all, operating margin came ahead of our expectations due to a better than expected Q4, notably in the US. It stands at €1,558 million, representing an operating margin rate of 16%, down by 90 basis versus 2019. And if we exclude the Epsilon transaction cost, the operating margin rate decline by 130 basis points. Moving to Page 18, we are providing here the details of our cost reduction plan on a comparable basis. We reduced our net cost base by €467 million in 2020, notably with a better Q4 than expected. We demonstrated this year and despite the circumstances, we have been able to be very flexible and agile when it comes to our cost structure. As expected, the main bucket of savings is G&A as our employees were mainly working from home and not traveling during most of the year. As a result, we were able to save €258 million in G&A, which is more than half of our total cost reduction. Second bucket of saving is personnel cost with €169 million. This was achieved. Thanks to all the measures we took early on allowing us to save €96 million in fixed personnel cost net of severance, and €73 million on freelancers. Last but not least, this include the impact of the repayment of salary sacrifices accepted by our employees, our managers during the tough times of Q2 and Q3. Third bucket is the cost of sales which mechanically decreased with revenue, leading to a cost reduction of €89 million. The next bucket is a third wave of our real estate consolidation plan initiated in 2018, that allowed us to save in 2020 €51 million of occupancy cost. As you can see, the vast majority of our cost reduction is variable and correlated with the revenue decline. As a result, most of these costs will jump back in 2021 with revenues. However, we expect that roughly 20% of the 2020 savings will be permanent, but we know that we will have to reinvest part of it to strengthen our talent pool in order to support the expected growth recovery. All in all, we have been able to reduce our OpEx base by 5.4% in 2020, partly offsetting the organic growth decline in revenue of 6.3%. On Page 19, I will present the change in the operating margin. Reported operating margin rate is at 17.3% in 2019. Excluding Epsilon acquisition cost -- excluding -- sorry, Epsilon acquisition cost, exchange rates and structural changes added 60 basis points impact, and restructuring has an impact of 80 basis points. All in all, our margin rate was 15.9% at comparable exchange rates structure -- a level of restructuring charges. Fixed personnel cost added 250 basis point negative impact in 2020. I remind you that the impact was 460 basis point in H1. So we were able to reduce the impact by close to 50%, thanks to the restructuring measures that we took in H1. In parallel, we continue to invest in our transformation to make us ready for the recovery. Additionally, and given our relatively good performance in H2, we had very limited recourse to COVID governments subsidies. In total, these subsidies amounted to €20 million in 2020 for our international subsidiaries. It is important to note that, for instance, that we decided not to ask for any government subsidies in France. Our current incentive charge increased in 2020, having an impact of 120 basis points. We see it is important to recognize the exceptional work performed by our people in this tough year. The impact of bad debt decrease in H2, the impact for the full year is 30 basis point. We reduced the use of freelancers as part of our cost reduction plan. This results in the 60 basis point positive impact on our margin in 2020. Occupancy cost have a 70 basis point positive impact on margin. Thanks to our real estate consolidation plan. We have generated with this plan a total saving of €172 million during the last three years. As in H1, G&A was the main savings source. Some expenses did not resume as government continue to take lockdown measures until year end. All in all, as you can see, our operating margin is very resilient at 16% in 2020. Regarding now the net financial expenses on Page 20. Interest on net financial debt totaled €103 million. It is mainly composed by the interest expenses that have increased at €143 million. This includes the full impact of Epsilon acquisition debt in 2020 for €96 million. We have as well the interest expense on the RCF, the revolving credit facility line, that was drawn from March to September for €11 million of interest. Net interest income is at €46 million, which includes €6.5 million on -- in the interest earned on deposits from the drawing of the RCF. When we add to this three elements which are: first, the interest on lease liabilities for an amount of €77 million; second, the net foreign exchange gain or loss, which is very small -- which is a very small; and third, the other financial expenses. The headline net financial expense is at €189 million. After a change in the fair value of financial instruments and the financial charge related to the unwinding of cross currency swaps that we made in H2, the net financial expenses in 2020 is at €198 million. Moving to Page 21 on taxation. To calculate the headline income tax, we are adding to the reporting income tax, the tax effect linked to the amortization of intangibles for €85 million, and the tax effects related to the impairment and the real estate consolidation charge for €56 million. Then the headline income tax is at €340 million. The 2020 effective tax rate is at 24.7%, improving by 30 basis points compared to 2019. On Page 22, the headline earnings per share fully diluted is decreasing by 14.9% year-on-year to €4.27. This is a result of: first, the reduction of our net revenue and operating margin; second, the increase of our financial expenses coming mostly from the interest paid on the Epsilon acquisition debt on a full year basis; and finally, the increased number of shares related to the higher proportion of our shareholders that decide to opt for the payment of the dividend in shares in September. Moving to Page 23 relating to the dividend. After having -- asking to reduce the dividend in order to preserve our balance sheet at the beginning of the crisis and given our resilience in 2020, we are pleased to return close to the previous level of dividend. As a result, we will propose a dividend of €2, representing a payout ratio of 46.8%. This is coming back to the pre-crisis level and above our commitment of 45% for the payout ratio. So the dividend will be submitted to the AGM on May 26. Turning now to the Page 24; the free cash flow before change in working capital is €1,190 million, down by 5%, and is composed by EBITDA for €2,158 million, interest paid for €113 million. It was an inflow of €11 million in 2019. Repayment of lease liabilities and related interests, €461 million, and tax paid is €293 million. CapEx is at €155 million, down versus last year as we were very selective on our CapEx allocation, giving priority to IT spending, especially to support work from home initiatives, and Epsilon which represents €82 million on this CapEx amount. Turning on to Page 25, showing the use of cash. First, we delivered a positive change in working capital of above €1 billion. We have been very disciplined in our working capital management from the beginning of the crisis to the end of the year. We were actually expecting a significant outflow for the months of November and December. So we move ahead, trying to mitigate this potential negative impact, which did not materialize. The working capital position did not reverse as we anticipate in December, as the environment was not as bad as anticipated, confirming the good end of year that we had in many aspects. Some other factors also had an impact at year end. For instance, first, our activity mix entities that have a structurally negative working capital outperform better that the entities with a structurally positive working capital. Second, our team's effort that resulted in a higher collection rate. And finally, some items had a significant positive impact on our non-trade working capital as provision for restructuring not paid at year-end, as well as the increase in bonuses. Additionally, the US government has also postponed the payment of social charges to help companies to face the COVID crisis. All these non-trade working capital items represent an impact of roughly €300 million in the change in working capital leaving roughly €700 million for the inflow coming from the trade working capital. In addition, acquisitions had almost no impact this year. The earn-out and buy-out paid represent €144 million. Dividends paid amount to €112 million, due to the fact that we reduced the dividend and more -- and that more than 60% of our shareholders took their dividend in share. Non-cash impact on net debt is minus €89 million, mainly due to the impact of exchange rates, which is partly compensated by the change in fair value of cross currency swaps. As a result, the reduction in net debt is €1,880 million at year-end, reflecting an exceptional seasonality impact. Turning to Page 26 on balance sheet. Our total assets are €10.8 billion at the end of December. The evolution during the period is a decrease of €1.2 billion in goodwill and intangibles, due to the impact to the amortization of intangibles arising from acquisition and amortization of brands initiated in 2019. Currency have also a big impact this year as most of goodwill is located in the US. The decrease in the net right of use of €477 million due to the amortization and an impairment on vacant space, mainly in New York. The decrease is -- the decrease in current and deferred tax of €172 million and a significant change in working capital of €762 million, also impacted by exchange rates. On the liability side, the decrease in net debt is mostly related to our strong free cash flow position at the end of December as described before. On Page 27 now, the net financial debt. To be fair, the most important metric to look at, especially this year, is our average net debt position. Average net financial debt is €3,286 million in 2020. The increase compared to €2.4 billion last year is explained by the integration of Epsilon acquisition debt for 12 months. Comparable average net debt in 2019 would have been €4.3 billion if Epsilon was acquired on 1st of January, and instead of 1st of July 2019. Net financial debt at the end of December is €833 million, thanks to our very favorable working capital position at the end of December. On Page 28, we are moving to our key financial ratios. Our average net debt to EBITDA ratio, including lease liabilities, increased year-on-year to 2.6 times due to the consolidation of Epsilon acquisition debt for 12 months. This ratio improved since end of June as expected, and surely continue to improve before returning to a normalized level. Now, I'm reaching the last slide on Page 29 with our liquidity position, which has increased to €6.3 billion at year-end. After having preventively drawn our €2 billion RCF in March to face any potential liquidity impact related to the global pandemic, we decide to repay half of the line in June, and the other half in September. Additionally, as we were reassured by our treasury situation, we decided to make an early repayment of two term loans franchise in Q4 of respectively $900 million and €150 million. This will have also a favorable impact on our financials going forward. I'll now give the floor back to Arthur, who will give you an update on our priorities and strategic outlook, and of course, I remain available for your questions during the Q&A session. Thank you.
Arthur Sadoun: Thank you, Jean-Michel. In 2020, we were actually prepared for the worst. Thanks to our transformation and also our ability to act faster. We managed the crisis pretty well. But looking at the pandemic situation, in most countries, it is fair to say that it is far from being over. There are some encouraging signs. When it comes, for example, to the model of the business result and consumers. With the new variant of the virus, and the uneven progress of global vaccinations means that the world will continue to be marked by the social and economic effect of the pandemic for some time. So we will need to double down on our results in 2021. First, we must continue to keep our people stronger. After an entire year of lockdowns and restrictions for many of them. Their physical safeties, but also mental health, will remain our top priorities, as we confirm not only the virus, but also it's wider effects on our well-being. Through Marcel, we will bring them increased flexibility in the way we worked and allocate resources. Our platform worked at the core of how we distributed our workforce in 2020 by identifying and moving talent from decreasing operations to growth areas. This year Marcel will be even more central to filling roles within our organization, creating a fluid ecosystem between working from home and the office. It will also be the hub for all learning and development and career tracking activities. We will accelerate on our diversity, equality, and inclusion agenda, building truly diverse and inclusive environment with concrete action supported by our diversity progress. Second, we will continue to help our clients, win in a world increasingly dominated by platforms to drive profitable growth for them and also for us. More than ever, our client will need real identities to better know that customer in a cookie-less world, highly creative dynamic content to strengthens our brands and justifies our premiums, smart scale media to find our way to the right audience and direct channels to customers through own digital ecosystem to winning commerce. Thanks to Epsilon. Our leadership in Creative and Media, and Publicis Sapient business transformation capabilities will have all the expertise our clients need at scale to win in this platform world. We have made the demonstration in 2020 of the value we can create for them and the growth we can generate. This is visible not only in our new business results, but also in our revenue with our top 200 clients, which rose by 1.8% this year, with an acceleration in Q4. It is worth noting that FMCG and healthcare were key to that growth, more than compensating for automotive and finance which were each up by the crisis. Now we will grow even further in leveraging our unique offer to partner with all of our clients across every category in the year to come. Our third priority is to continue to improve our efficiencies in what is an uncertain world. Our global delivery centers, shared service backbone, country model and Marcel, are full structural competitive advantages that have allowed us to maintain industrial [ph] financial last year. It is through this platform organization that we will deliver strong financial ratios in 2021 while preserving our best talent, rewarding our teams and investing in the future, just as we did in 2020. In conclusion, our transformation helped us stand stronger in the storm of the past year. Looking ahead, it has also placed us in the right track to be a good performer in our industry, while maintaining our best-in-class financials. But the crisis did not end with 2020, and the uncertainty caused by the virus will continue to dominate our daily life. 2021 is already off to a difficult start for the world as a whole. This context prevents us from giving an organic growth guidance for the full year 2021. We anticipate that Q1 will be negative as it is faces an unfavorable comparable, and positive growth to return in Q2, supported by favorable basis. We will of course update you as we get more visibility on the evolution of the situation in July. When it comes to operating margin, we can expect our operating margin rate to improve by up to 50 basis points in 2021. Our ongoing cost discipline and country model will give us the necessary flexibility to adapt to the evolution of the situation as we demonstrate in 2020 and invest accordingly in our talents. Last but least, our free cash flow before changes in working capital should be around €1.2 billion in 2021, contributing to our deleveraging as initially planned after the acquisition of Epsilon. Again, the crisis is far from over. And we are clear sighted about the challenges that lies ahead. But thanks to our assets, our model, our people and the trust of our clients, we are confident that we will emerge as a stronger company. That's it for the presentation. Now, if I may -- before moving to the Q&A, I would like to take a moment to say a few words about Jean-Michel. Today, it is his last call with all of us after roughly 80 earnings presentation and 20 years as the CFO of Publicis. Jean-Michel joined us in 2000, when revenue was at roughly €1 billion. Publicis have grown drastically since then. But what stayed the same is determination and the dedication he has brought to the Group together with a great team he has built. On behalf of everyone at Publicis, the Board and its Chairman, Maurice Levy, I would like to truly and sincerely thank him for everything he has done. On a more personal level, I want to thank him deeply for his partnership and his support over the last four years, where I have learned so much from him. As you know, Michel-Alain will be our new CFO starting today. By the way, Jean-Michel is not going very far as he has agreed to stay in the group until July to help us managing shared services and ensure a smooth transition with Michel-Alain. Merci Beaucoup, Jean-Michel, for everything. Now, our team [ph] is here to answer any of your questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Lina Ghayor from Exane BNP Paribas.
Lina Ghayor: Hi. Good morning everybody. This is Lina from Exane. Congratulations on the results. I have three questions in my hand. The first one is on Epsilon. So it is favorably contributing to the growth in the US, but can you further comment on the moving parts of that, and particularly in automotive and non-food retail clients? Also with that, elsewhere other than US, how far are we into Epsilon roll out in other geographies? The second question is on the US. Clearly you had an impressive growth in the country in Q4. Can you maybe help us understand why the US has such a good performance and to what extent was that market related as opposed to being more specific to Publicis? And shall we expect the US to continue to outperform versus the rest of the group? And lastly, on your talents. How much do you intend to reinvest in your talent and in your platform to prepare the recovery? I hope it's clear. Thank you very much.
Arthur Sadoun: Thank you very much. Well, there is a lot there. So I'm going to try to make a complete answer and maybe Jean-Michel if you want to complete, but I'll try to cover everything. I'll start with Epsilon. As I said, if you look at Q4, the acceleration in growth came mainly from two areas: the first is digital media, that came back strong in Q4. You need to understand that at the time, where the pandemic hit in Q2, our client get everything they could get and they actually get a lot of digital media, because it was the kind of things that was not too much to plan ahead. It might have been the wrong decision strategically, because digital media was what was needed to deliver personalization at scale, but it was the first thing they could get and it's perfectly understandable when you remember the situation well there. So we see a good acceleration in digital media. And by the way, we see a great connection. I'll come back later on that, with Publicis Media, with our media operation. Our ability to lynch our ideas and our platform to delivering personalization at scale with the business media and our client on the side [ph] has been paramount to see this acceleration. And out of the 5.5% growth that we saw in Q4, which is by the way, historically a very good performance for Epsilon, which shows a complementarity of Publicis with complementarity. We have been a big contributor. The second big contributor is auto -- automotive. Actually, the market is coming back. And they have been able to come back to a level of growth that is more than satisfactory and they have been contributing to the growth. This doesn't say by the way that taken data that technically did not perform, but there were small growth compared to those two. It's interesting to CJ by the way. If I can take the second on that, because as you know, it was part of Epsilon. Also, we moved it to PMX, which is our digital arm, that by the way has grown double digits on this quarter. You would remember that before the crisis, we were strategically thinking about what we should with CJ, we moved it back, but we moved it to Publicis Media and we actually shift from decline to organic growth by the synergy we have been able to create. And I will remind you that CJ was mainly on a business model that was working with leisure. And so, you can imagine the kind of shift we have been able to bring. On international for Epsilon, I mean -- I could have told you which is true that we have a double-digit growth on Epsilon at international and that we feel very confident in what we are building, but the truth is, that it's 5% of revenues so far. So it's too premature materially to talk too much about it. At least, in the script, we delivered early on, but the truth is, it's very encouraging. We have a parallel team totally connected to the US working that we want a parallel team, because we don't want to disturb what the US is doing at the moment. We are growing, as I said, double-digit. And the rest -- and maybe we'll come to that later is how much IDs can we build globally. We have 250 million individual profile in the US. We are reaching 50 million in Europe at the moment. And the question is, how fast can we move that to accelerate our growth? We are of course very focused on this. US, I think, the positive growth in the fourth quarter have reinforced our feeling that we are taking the right decision in 2019. If I want to remind you the big numbers, because they are actually the outcome of what we put in place. We talked about Epsilon. I'm not going to come back on that, and the growth of Epsilon is definitely due also to the country model we have put in place, which is to work without silos and cross leveraging our expertise at the service of our clients. We saw a strong growth coming from digital media, I said it, double-digit. Sapient's came back to positive. If you remind, the challenge we're having with Sapient, we changed the team, we changed the go-to market, we organize ourselves. We saw some early good signs in Q1 that was positive, then of course because our client was cutting CapEx, it went down, and now it's coming back with an encouraging pipeline. So that's pretty good and Health did perform very well. I don't want to undermine Health performance, because it's really outstanding. But the Health sector has been doing pretty well, and also it's similar for us and also our competitors. It does of course a material impact. What is important to take here is a point you made about, is our model specific or is it industry, I think? We believe that our model is unique. I mean, under the vision of [indiscernible]. We started to invest virally in technology recipient. I mean, in digital, we think that gives you that and where office is actually coming back very strong in technology with Sapient, and more recently with Epsilon on data. And the truth is, 2020 has been the year where we have seen an accelerated shift to digital media, double-digit growth for us, to CRM and Health, Sapient coming back to growth, and everyone preparing for a third-party cookie-less world, which means that Epsilon is positioned at the right place. So, we believe that through those expertise, first, we are specific, and that's the first point. The second point, we believe organization is specific. As you know, we have only one P&L in the US now that are managing directly, which means that we can work end-to-end with our clients. So hopefully I answered part of it with US but I can go, of course, on and on. Your point on talents. We are now in a place where we have completed our transformation in term of assets. We have a lot of confidence in the model we are building, and I guess, you can see it in our results in 2020. The way to accelerate is to make sure that at our talent, not only from the start of the journey and this is why we wanted to incentivize them and reward them for the year, but also feel stronger in the momentum what many of them have been in lockdown. We are leading the world which is more volatile than ever, it's true particularly for our industry, it's true for everyone. I mean, you can quit on the fourth quarter. To be clear, you don't even have to come back to your office to take your stuff. And our abilities to actually keep our talent, retain our talent, grow our talent, and attract more that's going to be critical. You need to know that before taking the decision of reimbursing the salary sacrifice, of course, I tested with our leaders and we decided to go, but I also tested with some clients. And the answer was very clear. What we need at the moment is continuity, and the more you can give strong sign to your people that they are in the right place, it's better, and this is why we took this decision. I think we can move to the next question. I can go for two hours on this one, but I guess we need to move on.
Operator: We'll now take the next question from Tom Singlehurst from Citi. Please go ahead.
Thomas Singlehurst: Good morning, and thanks for taking the question. First thing first. Thank you, Jean-Michel, for all the hard work over the years. It's been an enormous pleasure working with you and you will be very much missed. I'm sure you're looking forward to taking a well-earned break and checking the cash balances daily. Although, I'm sorry, you're probably going to be stuck at home for a little bit at least. But thank you for your hard work. The questions, a coupled if that's okay. The first one was on -- just in the shape of the fourth quarter, which was obviously better than expected. Yes, one of the features of the fourth quarter normally is that project-based work, in other words, is risks that -- ad budgets might get cut at the last minute, because advertisers are desperate to make margins. And maybe this year around, you have the reverse problem with advertisers, which is they had cash sitting around. So I just wondered whether there was any sense do you think that that fourth quarter performance was one-off in nature? That was the first question. And second question was actually about the working capital performance. I mean, obviously, huge -- you mean, huge number relative to the working capital outflow we all expected. You already outlined some of it will -- the non-trade elements will probably revert, but I was just wondering whether you have any views on the overall picture for the trade working capital element? Whether that will continue to be neutral or what we should expect some of that flow back out again this year? And then very finally, CapEx, obviously big saving in the year. Will it have to go back up again and maybe even catch up some of the decline last year? So two questions there for Jean-Michel. Thank you.
Arthur Sadoun: Tom, I'm going to answer the first one on the fourth quarter and then I will leave the floor to Jean-Michel. So again, we are trying to be granular more than ever to make sure that we give you some context and flavor in what is still a very uncertain context. So if you look on a monthly basis, we actually add an encouraging and positive October in what was at the moment a relatively quiet environment and very few lockdown; that tells us [ph] positive October, November turned negative. As you would remember, we start to face again new containment measure by the different governments, I mean, lockdown directly related to our growth. December was actually the weakest months in Q4, and it was anticipated, but it was ahead of our expectation, mainly in the US. So again, it's very difficult to draw conclusion on a monthly basis, but to give you a bit of granularity, and yes, we have seen a correlation between organic growth and lockdown so far. Jean-Michel, maybe I'll let you take the two others.
Jean-Michel Etienne: Yes, thank you. Thank you, Tom for the nice words first of all. Then, working capital, of course, we have been to reassure on the trend that we will obtain at the end of the year, very late in the year, in fact, it was mid-December that we saw a trend going in the direction that you saw in the numbers. And we have been out by the day-to-day monitoring also that we put in place early in the crisis, which has created a comfortable situation at the end of October. We had a positive valuation year-on-year already at the end of October, because we were feeling very -- very difficult year end on both side, collection and payments. So -- but we had unexpectedly high level of collection at the end -- at the very less days of December, surprisingly. So, obviously this is clear that an outflow is expected in 2021, and nobody will blame Michel-Alain for an outflow in 2021 is -- based on what we know, as of today, the calculation that we made, we are estimating this outflow around €500 million -- €500 million is something which seems at this day reasonable. Now coming back on the CapEx, where also CapEx as usual, €155 million of CapEx. This is something that we have never seen at that level. But the context was also that people were working from home. We did not renovate the agencies, and so on. So you see a lot of spending has been not done for sure due to the fact that people are working from home. And we gave priority to the IT CapEx for sure, and of course, Epsilon. Epsilon update all the CapEx they wanted, of course, because this is a priority for us. The numbers as I said, on the €155 million of CapEx, €82 million relate to Epsilon, and it is a big part of the amount of 2020 CapEx. Obviously in 2021 and onwards, we will resume our investments in CapEx and the spend should be around €250 million [ph] and 2.5% of revenues as we used to do before the pandemic. So, this is a one-off -- the CapEx of 2020 is a one-off and we will resume of course in 2021.
Thomas Singlehurst: Thanks. And maybe just briefly, the €1.2 billion of free cash flow that incorporates that back to normal profile in CapEx?
Jean-Michel Etienne: Of course.
Thomas Singlehurst: Perfect. Many, thanks.
Operator: We will now take the next question from Lisa Yang from Goldman Sachs.
Lisa Yang: Good morning. Thanks for taking my questions, and congratulations again. The first one is on Epsilon. So can you explain here why the business has improved so much in Q4. But I'm just wondering like, looking ahead, do you see that with mid-single-digit growth rate, I think the new normal for Epsilon in the US. I appreciate you have tougher comps in Q1, but I think I'm more interested in sort of the longer-term, mid-term trajectory for Epsilon? And second is on Sapient. I think, it's great to see Sapient recovering in the US. It looks like international is getting partly. So maybe could you talk about the pattern of new projects like the phasing that you were talking about. Should we expect to see a more meaningful tailwind in the US internationally in the quarters to come? And the third question is related to the margin. So you guided up to 50 basis points of improvement in 2021. Could you maybe help us walk through the moving parts? I guess, the restructuring should be quite a boost here. You talked about the savings already, there will be structural. Wondering if there's any additional areas of phasing you can think about for 2021 related to COVID and how should we think about the operational leverage in there and with investment? That will be really helpful. Thank you.
Arthur Sadoun: Thank you, Lisa. So again, I won't insist enough. We are very confident in the model we are building, and we think it's reflected in our 2020 number, but we also have to be very, very cautious. I guess, most of you on the call are still working from home. And it's important for us to again be very cautious on what will happen in the coming months. But coming back to Epsilon, yes, we said from day one that come back to mid-single digit growth should be a first objective. That's of course our goal. We believe that not only we can create the synergy to get there, but more importantly, redrawing from third-party cookies, will mean that identity resolution, our ability to build real IDs is going to be paramount. And in the US, for the moment, it seems to be built in the rest of the world. We have a unique position. So, of course, this is very encouraging. But again, I want to stay cautious. On Sapient, you're right. We have seen a good momentum in the US. First of all, we are -- because we have changed our structure, we have changed our leadership, we move to industry practices organization as we were having in the rest of the world, where we have been growing significant teams the last 5 to 6 year. And we see again, the pipeline in terms of project, I don't want to say good, because again it's related to CapEx. So the good news is, when people start spending, it has been an impact, but the first thing to get is this kind of thing. So we have to be careful. But the pipeline of project is good, okay. For the rest of the world, it's seems a bit different, and it's two-third story. On one side, you have countries like the UK, which is the second biggest country for Sapient, where some of our big project have been postponed, mainly the financial services for reasons that you know very well. It doesn't mean that it's not going to come back. It means that for the moment it is postponed. On other area like Asia or the Middle East, we are seeing increasing projects that make us confidence. But I would say, overall, the project pipeline is pretty good for the US and the lockdown in the rest of the world, we actually determine whether we can accelerate further and sooner that what we have planned for the moment. I'm going to try to answer briefly your question on margin, which is an important one. I mean, as we did, I would say, for the last decade, but I think you can go to the day Jean-Michel arrive and maybe before, Maurice was already there. We will definitely continue to manage our cost with a very strict discipline as by the way the crisis again is far from being away. I want to try to answer your question and make a very high level bridges for the margin of 2021. There is definitely some items that we play positive. The first is, we will have fewer restructuring cost. We believe it will be contained to circa 100 million where we spend 175 million in 2020. The second thing, as Jean-Michel insisted on that, 20% of regarding saving outperforming 67 million generated in 2020. So that of course with depositories and obviously the contribution from additional revenue. But it's important to note that this is going to be partly offset by two main buckets I'd say. First, some costs like the G&A, we mechanically go up when people return to their feet and start traveling again. Again, too early to say when, but we have to be prepared to that. But I would say, way more importantly, and we discussed that before, 2021 is definitely a year where we will invest in other [ph]. Again, we have made the demonstration that with the model and the strength of our model, the question is, how do we encourage, reward and bring on the best people to accelerate on organic growth. So taking all of this factor into consideration, looking at the fact that -- by the way, thanks to our acceleration in the US, we have posted what we consider as solid margin at 16%. We expect to improving it up to 50% for the year hopefully, to give you a 50 bp for the year -- yes 50 bps. That's hopefully answering your points.
Lisa Yang: Great. Thank you. So based on your answers, you're not expecting additional structural cost savings in 2021 partly related to like real estate or things that you've been doing the last few years?
Arthur Sadoun: No, it's part of the 20%. But more importantly, again, we consider that our transformation in term of model, in terms of culture, in term of viewership is on its way. It's completed, and now we are really focusing on the execution. And the equation is returning to growth as fast as we can, taking into account the very difficult global context line.
Lisa Yang: Great. Thank you very much.
Operator: We will now take the next question from Conor O'Shea from Kepler Cheuvreux.
Conor O'Shea: Yes. Thank you. Thank you for taking my questions. Good morning, everybody. From my side, congratulations as well, and many thanks to Jean-Michel for his hard work and professionalism and help, and welcome to Michel-Alain. Three questions. Quickly, on the organic growth, just want to -- thank you for the detail, Arthur, on the Q4 by month. I wonder if you could maybe say if January for the moment is also a little bit weaker than December and it's smaller months, but that could be helpful. And also on the top 200 clients, just to be clear, the 1.8% growth is that reported growth or organic growth? Second and third question is on the margins. Just on the margins in the European business, and they responded and recovered remarkably in the full year over 10% versus the first half, I think they were below 2%. Could you just talk us through what is happening there? And then, if you could perhaps give us an indication roughly how much it cost to reimburse the salary sacrifices? How much that weighed on margins at the full year? Thank you.
Arthur Sadoun: Thank you very much. I'm going to let three and four to you, Jean-Michel. On two, its organic growth on the top 200 clients. And I'm going to spend a second on Q1. So first of all, we don't have -- at the time taking the January number. So we can think in your assumption until a couple of days, I guess. As I said, we know that Q1 is going to be negative. I call Q1 2021 to kind of Q5 2020. And relatively this is the mood we are finding everyone. I guess, everyone of you or at least every one of us has a good week during Christmas, where our email stopped, but then yes, came back and the Groundhog Day as it is -- it is a day in the US, we are exactly in the same place, okay. I think it's important, if I may to remind you that, when you look at January and February for Publicis last year, we were off to a very good start. We were positive at the end of February and then things start to deteriorate with the situation. So it's way too early to say whether our Q1 has done better or worse than Q4. It will really depend on the evolution of the pandemic. And I again -- I can't give you more detail on January, because we don't have it. Hopefully [ph] we will give you a bit of color. And I will let Jean-Michel take the two other question.
Conor O'Shea: Okay.
Jean-Michel Etienne: Thank you, Conor. Thank you for your words too. Regarding the margin in Europe, there is an improvement in H2. This is due for a better -- a better growth rate to be clear. And then it is also due to less impact of outdoor activity in the second half of the year compared to the first half of the year in France mostly -- in France per se. This has improved. This has significant weight in the improvement. But you should not underestimate the weight of the restructuring that we had in Europe in the second part of the year, also which either have -- we have some significant restructuring cost in H2 in Europe, because among the objective that we have, you are forced to improve the margin in Europe in the next years is something which is clearly on the radar screen. Now, the cost of the reimbursement of -- repayment of salary sacrifice is roughly €30 million. So I guess, you have the answer to your question Conor.
Conor O'Shea: Perfect. Many thanks, Jean-Michel.
Operator: We will now take our next question from Julien Roch from Barclays.
Julien Roch: Three questions if I may as usual, and I ask them one by one if that's okay. So you guided to €1.2 billion of free cash pre-working capital. You told us that working capital should be about minus 0.5. So debt pay down at 0.7, so net debt of 0.1 at the end of 2021. So when do you start a buyback or are you going to buy another big digital asset in 2022?
Arthur Sadoun: Do you want to start or you want me to start Michel? I can start if you want. I can start with the buyback question to be clear. You know that our appropriate dividend represents 46.8% of headline EPS, and I think it's important to note that it's over 80% of our reported EPS. Jean-Michel made it clear, but what matter for us today is that average debt for 2020, that amount for €3.3 billion. So to be clear, in this uncertain environment, our first priority is deleveraging. I don't know Jean-Michel if you want to add something on that?
Jean-Michel Etienne: Yes. What matters us in fact this year, level of average net debt to be clear. The average net debt in 2021 is expected to be around the €2 billion, still in progress, but still some debt. And the net debt at the end of December '21, we will not be too far from the 2020 if you -- just to give you, Julien, some ideas where we could land. But this is a thing which is a little bit premature to conclude on that, because there are some uncertainties to reach out. But it is a calculation that we have in our own estimation.
Julien Roch: Okay. Second question, the breakdown of US net sales in Q4. You told us that Epsilon was up 5.5, else was up strong double digit, but can you be more specific? Is it 15%, 20%? Second, slightly positive, can you be more specific, one to two? Creative and Media negative, but can you be more specific? So four numbers please on the US.
Jean-Michel Etienne: Yeah, what are doing here, we are giving you more than usually for sure. So we will not go into detail for sure. But okay double digit in Health is already a lot to give you a good sign where we stand. And negative on Creative and Media altogether. But you noticed that among the Creative and Media altogether, we have a some aspect, some entities, some capabilities which are growing double-digit also within negative and total.
Julien Roch: Okay. I'm still trying to, because you say you gave us more, but in Q4 you gave us slightly less than in Q3, because in Q3 you told us that the US net sales split was 25% Creative, 30% Media, 20% Epsilon, 15% Sapient and 10% Health. So can you give us the same split for Q4 please?
Jean-Michel Etienne: No, we don't have the split. We have the split, of course. We will not communicate on that basis.
Arthur Sadoun: But it's the same from Q3 to Q4. I want to be clear [ph]. There is no big changes from one quarter to another, not material at all. So what we give you in Q3 do well for Q4. Again, what we are trying to do here and this is an important point is that we see our client shifting our revenue to more digital, more CRM, more commerce and this is where we are growing and this is where we have been investing. Coming back to the question I had earlier, our differentiation come from our investment in data and technology. It comes to the fact that we have country model that not only allows us to manage our cost, but also to accelerate on growth by cost optimization and through Marcel which is another thing [ph] but we are actually trying to give you more than we were in the past.
Julien Roch: Okay.
Operator: We will now take the next question from Sarah Simon from Berenberg.
Sarah Simon: Yes, hi. I have three questions please. So Jean-Michel last question for you. Not very interesting one. I'm afraid. But thank you for everything. But question to you Jean-Michel is, what you think the effective tax rate is likely to be this year? And then, I had two kind of questions about the environment. First one is, I've been really quite a lot about retail Media and how you're starting to see trade marketing budgets move? And I don't think you have a big exposure to trade marketing in supermarkets, but what's your exposure in terms of the online side of retail or e-commerce media? And then, the second one was on travel, I know leisure is quite a small part of your business. But you are seeing any signs of any of that spending coming back yet now that there is more optimism around the vaccine and us being allowed to give out one day? Thanks.
Arthur Sadoun: Thank you very much. I'm going to ask Jean-Michel on the first one, then maybe, Steve, that hopefully he is on the line, will move on to Retail Media, and I'll finish with travel. Michel?
Jean-Michel Etienne: Okay. Thank you, Sadoun. The tax rate, as you notice, has improved by 30 basis points in 2020. It was not really obvious to get this reduction. With the reduction of results that we had in a few countries for sure, you can imagine that. If we go back to a more situation, we should be able to reduce our tax rate. But what we have in mind is that tax rate -- normalized tax rate between 24.5% to 25% is something which is a reasonable in our environment.
Arthur Sadoun: Thank you, Michele. Steve, are you with us -- connection for you [ph].
Steve King: Yes, I'm. Yeah, I'm finding in the whole call a little unsettling, little of these nice comments to my colleague of 20 years, Jean-Michel. They are obviously well deserved. So, obviously the question on retail media and trade marketing. This is, you know I think we have seen through these forecast some of the perhaps strong or even surprising resilience we've seen throughout 2020. And I think one of these is the pickup that we're seeing in commerce, both direct and indeed us securing a larger share from retail. You've seen some of the announcements -- recently announcement I'm sure about Walmart, how they're using the properties in terms of now creating potential additional vehicle beyond the sort of [indiscernible] which is something which obviously with our broader skill sets is something that for our larger clients is something that is opening opportunities in creativity, analytics, and omni-channel experience is not just in media placement. For us in commerce, we really have three categories where we are really pushing. And as Arthur said, you know, when he talked about our model, commerce is one of the four areas where we're really focusing on. We've obviously got marketplace, which is that retail environment, which I'm talking about. The other is Shawcor which has moved from a sort of traditional in scale now so much more of a digital experience. And thirdly is DTC where we're creating solutions to clients who are trying to make sure they got properties and services which they can sell direct-to-consumers. All three of those, I think, we are very strongly placed with the combination of strength in Media through Epsilon, with its tentative resolution. Shawcor with specialized agencies, particularly, I must say, in the US, where we've got some very strong specialty services. And then DTC, which is very much through agencies, such as Razorfish, which is rejuvenation and obviously, particularly in Sapient. So I think commerce area is one of the areas to your particular question in terms of trade marketing, which has really helped us retain that resilience you're seeing through these numbers.
Sarah Simon: Okay. Thanks.
Arthur Sadoun: Maybe, I take the third one travel. So clearly, most of them took a varying digit [ph], but I think it's a great question, because it give me the opportunity to tell you a bit more about how again we are shifting our go-to-market, and how we want to help our clients to win in a platform world, because the one thing that's happened in 2020 is that the world have been increasingly dominated by platform. And when you go to travel and leisure, I will say that Airbnb is a good example for that. So when you look at our more traditional client in the leisure business that needs to win in a platform world. Well, we are bringing your value that is pretty unique that we can combine the full imperative they need to come back to growth, while maintaining that cost down. It starts with first-party data. It start by the ability to connect directly with their customer, which is platform handling so well. I mean, Amazon being best interest in that. This is what we bring with Epsilon. It continue by justifying the premium. Why should you go in a hotel, instead of going into house that you can rent? This is due to creativity, and again, we do not insist enough. Creativity has been paramount in this tough year to differentiate and justify your value. Then there is a very important point, which is they need to use the scale, they need to make sure that when you're bringing a hotel company and you're coming back to of scaling Media, it makes a difference. And last but not least, they need to go direct to the customer. They need to start to build their own digital ecosystem to fight against those guys. On those four areas, not only we can examine we have best-in-class expertise, but we can bring it in a connected way. And the reason why you see some growth even in some client that are going through difficult moment is because of these. They're going to come back. Their mode is pretty strong at the moment, and we have to be able to have them in the dynamic. It is the case with all of our client, of course, not. But it will come back one by one and we'll be there.
Sarah Simon: Great. Thank you.
Operator: We will now take the next question from Adrien de Saint Hilaire from Bank of America.
Adrien de Saint Hilaire: Yes. Good morning everyone. And Jean-Michel, clearly you'll be missed. I will personally keep a good memory of the burger we once enjoyed on a snowy day in New York, it's at Penn Station. But anyway, just a few questions from me please. Jean-Michel, first of all, on the margin expansion of 50 basis points, I suspect this is at constant currency. So given the weaker dollar, should we assume that, in fact, the reported margin improvement might be less or is that number at the current reported currencies? Secondly, on that margin point, again, I know of course there will be a secret transition, but how confident are you feeling about returning to the previous peak margin? And maybe one last question for Arthur. Can you give us a bit of an update on like game changer activities? How much it overall represents the group in 2020? How much it grew, let's say, and perhaps if you could give us maybe an outlook for 2021? I mean, you've given some elements around, of course, Epsilon and Sapient, but overall for game changer that would be useful. If that's still something that you use internally. Thank you very much.
Arthur Sadoun: Thank you. I'm going to give you the two first, I'll take the last one then.
Jean-Michel Etienne: Thank you, Adrien. We have the same souvenir. Thank you very much. Regarding the 50 -- up to 50 basis points, of course, we are not planning for change in exchange rates. This is at current exchange rates that we made that estimation of potential to improve. Of course, in the future, it is really premature to estimate which day do we will be back to a higher margin rate, but okay, year-after-year, we depend of course the speed at which we go back at higher growth rate for sure. And -- but every year, we will have to manage the cost in the way we did in the past. We have, as you say real estate consolidation impact, which is also improving for sure. We continue the effort in 2021, so something which will help. Then the year 2021, of course, will be with all the uncertainty that we have. This is already good to be a coherent with -- about -- up to 50 basis point improvement that we are planning for 2021. For the rest, it will be premature to conclude.
Arthur Sadoun: Again, when you come back on the game changer, what we said about data and digital media are hopefully is pretty clear in the US. We see some growth in view with Epsilon and with PMAX, so we feel confident about that. We have to be very careful because then it depends from one region to another depending on the pandemic situation. It's interesting to stop once again on dynamic creativity, because the truth is, as I said, it has been resilient but negative, but we should never forget that the curve where we are -- their creativity. And creativity the fantastic lever to actually accelerate on other areas, and we had a very good track record on the new business from there, we do with Visa, we do with Mondelez, we do with GSK, where you see more every deal connection between [indiscernible] are ready to produce idea and production. And this is actually bringing something very interesting on the growth opportunities for us that we are starting to leverage well when it goes to new business. And on business transformation, again, I talked about Europe. US was a better and positive in Q4. But if I want to make it very simple, I would say that in Q4, both PBC Sapient and Epsilon contributed positive to our growth in the US, which is an encouraging sign. We believe that in 2021 Epsilon and Sapient will be accretive to the growth -- organic growth -- group organic growth, sorry. And if you take what we said in term of trends, no doubt, our client we need to build direct-to-consumer more than ever, which is exactly where Sapient is. And when it goes to Epsilon, it would be about third-party data and this is where we make a difference. I see that everyone is telling me that time is flying but we still take your question. Are we done? One more? Okay. So we're going to take one question. We're sorry. We are a bit late. Five minutes left. So we will take another one. And I guess we will --
Adrien de Saint Hilaire: Thank you, both.
Operator: We will take the last question from Richard Eary from UBS.
Richard Eary: Many thanks, and good morning to everyone. Congratulations on the results. And Jean-Michel, best regards as well to you as well. Just as -- just a couple of quick questions. First one on the category performance. FMCG has been obviously a very good tailwind for you this year after being a headwind for a number of years. How do we think about that tailwind into 2021? Does that continue or do we see a potential reversal out of that? So that's the first question. On the auto side, Arthur, you mentioned obviously things that actually started to get better in the fourth quarter, but the auto number was still reasonably negative. So I'm just trying to see how you think about how auto trends in 2021? And then, just lastly, Top 200 clients, up 1.8%, group down 3.9%. Obviously the long tail is still creating a drag on the business. How do we think that out of the home as we come out of the pandemic and how quickly does that long tail start to turn more positive?
Arthur Sadoun: You've given three for me. So again, every client matters. And as we said, 2021 is a year where we need to spread our model to more client and more category. I'll come back on auto and FMCG. The reason why our top 200 clients are growing, there are several reasons. The first is, they are the one -- our biggest client that tend to suffer the less in this crisis, because they are on this for a while that even they reduce their spending too much, they are not going to lose a lot of market share but it will be difficult to win again. The second thing is that [indiscernible] has been deployed firstly to those client where normally we have different agencies working with them. And again it come back to the point we have this year, which is how can we cross average more on client that have a single agency relationship, which are the one that could beyond the top 200 in general. Third is that, it's true that of that 200 client base is more US based and this help. But again, it's really about leveraging everyone. On the auto side, I'm going to go at the reverse. It's a bit what I said about leisure. US -- it's a challenging time for the automotive industry. But if you believe as we do that there is a future for them, the question is, how can they grow again or accelerates their growth depending on the company, while reducing their cost. I want to give you one concrete example to make my point. Most of them are spending 5 to 10 times more in incentives to their client than in Media. 5 to 10 times more in incentive to make sure that you're going to get a 20% discount or 10% discount to buy a car versus what you put in media. If you can only use what we learn from our data, to make sure that you have the personnel approach when it comes to incentive, we are talking about a few percentage points that you can win in reducing those incentive and moving the cost base lower while continuing to accelerate on sales. Sorry to be so technical, but I think it's important to give you a bit of granularity of what we do. And more important is the importance of having under the same roof, not only data, but media, because what you learn on one side, they can say it on the other. It's true for both too by the way, because you can identify earlier on who is coming to your website and how do you make sure people are going to stay through the journey and till they go to buy something. And we can go from [indiscernible] to Epsilon to make that happen. And I'll finish with FMCG. Of course, it is a good news to see FMCG coming back. And by the way, it of course boost by overall where you consumer at home. What I found pretty encouraging at the moment is that FMCG again are starting to understand as every other category that created direct relationship with their customer to make sure that some platform like Amazon went to the customer and actually sell your own product. It is more important than ever. They understand that they need to bag [ph] this is kind of digital ecosystem that will make the difference and deliver personalized experience at scale. So, what I'm expecting is that not for all of them by the way, because it's a mixed bag between the FMCG. Some are doing better than other. But the one that are succeeding today and the one that will succeed tomorrow are actually doing only three things. First, innovation, that's we can -- I mean filler competition, product innovation I'm talking. Second, investing in your brand, which is again where we are helping a lot and this is where you see the number rising. And third, building our digital ecosystem to go direct. And we can combine the strength of the brand to the experience and the future of tomorrow because you're all looking at your mobile while I'm talking is that the brand is the experience and this is where we can bring out a strategic aware and now that our transformation is completed, this is what we've got in terms of assets and this is what you can see in our U.S. results in Q4. I guess, we're going to stop -- we have been too long. I'm going to thank you all for your attention. Please take care of you and your families, and see you soon. [Foreign Language].
Jean-Michel Etienne: Thank you.